Operator: Good day, and thank you for standing by. Welcome to PT Indosat TBK 9M '25 Earnings Conference Call. [Operator Instructions] Please advised that today's conference is being recorded. I would now like to hand the call over to your host today, Pak Indar Dhaliwal. Thank you. Please go ahead,
Indar Dhaliwal: Good day. Thank you. Good afternoon, everyone. Thank you for joining us on the call today. With us, we have Pak Vikram Sinha, our Chief Executive Officer; Pak Nicky Lee, our Chief Financial Officer; and Pak Bilal Kazmi, our Chief Commercial Officer. I will now hand over the call to Vikram Sinha for his opening remarks. Over to you, sir.
Vikram Sinha: Thanks, Indar. Good afternoon, everyone. In the first half of 2025, we laid the foundation for an improved second half which can be seen in our results this quarter. We have delivered a positive result for Q3 with all financials and operational indicators moving in the right direction. If you look at the next slide, our revenue growth grew 4% quarter-on-quarter, and this was good all-round growth with all revenue lines growing on a quarter-on-quarter basis. Cellular was a big driver of growth for us as our customer base remained healthy at 95 million. Importantly, our ARPU has increased 4% quarter-on-quarter to 40,000 IDR milestones which is a proud achievement for us at Indosat. We have continued to maintain our focus on profitability with EBITDA increasing 1% quarter-on-quarter and normalized net profit increasing 29% quarter-on-quarter. With this, we are firmly on track to deliver our promise on the improved second half performance. If you look at the next slide, we have previously talked about our aspiration of achieving 40,000 IDR ARPU. However, competition and challenging market condition has meant that we were delayed on delivering on this aspiration. I'm pleased to report that we have managed to achieve it in this quarter, and we are building on the momentum on this. 40,000 is not the end goal. It is a milestone on a journey to deliver a better ARPU and realizing Indonesia potential on the ARPU opportunity. If you go to the next slide, our AI TechCo continued to make progress, and we now have our GB200 commercially live with the current capacity fully contracted. This will start delivering from Q4 2025. We continue to work closely with our customers to deliver turnkey vertical solution on our journey to deliver a full stack on AI. There remains a lot of interest on AI in this part of the world. And we at IOH intend to play our part in developing the ecosystem and deliver driving growth in usage of AI solution. We have laid the foundation this year and setting up for scale in 2026. That ends my introduction, and I will now hand over to Nicky for more detailed financial presentation
Chi Lee: Thank you, Pak Vikram and good afternoon, everyone. I'm delighted to report solid set of results for the third quarter, where we are seeing some better momentum in the market. Our third quarter revenue grew 3.8% quarter-on-quarter, primarily driven by an increase in cellular revenue as we continue executing our strategy to accelerate growth through AI and enhanced network experience. Additionally, MIDI revenue contributed to this performance underpinned by GPU business. Below the revenue line, we delivered 8.8% Q-on-Q improvement in EBITDA despite higher spending to support revenue growth which I will elaborate on in the OpEx section. Consequently, our EBITDA margin declined slightly by 1.4 percentage points to 46.2%. Normalized NPAT rose by 29.1% Q-on-Q, mainly driven by higher EBITDA and operational one-off gains below EBITDA in Q3 2025, including IDR 88 billion gain from asset disposal and IDR 223 billion fiber lease reversal post reconciliation. Our net debt-to-EBITDA ratio remained flat quarter-on-quarter at 0.49x, underscoring our commitment to strategic CapEx investment for medium to long-term growth while maintaining a healthy balance sheet. If we move on to the next slide, for the next first 9 months of 2025, reported revenue declined by 1.6% reflecting a challenging market environment. This also led to a 3.3% year-on-year reduction in EBITDA with EBITDA margin softening 0.8 percentage points to 47%. The margin impact was partially mitigated by ongoing cost leadership efforts which helped preserve profitability and top line headwinds. At the bottom line, NPAT fell 7.5% primarily due to softer earnings base and high depreciation expense during the period as we continue to invest for growth. Moving on to the next slide. In the third quarter, we saw some increased spending relative to the previous quarter. As I had guided in our previous call, due to operational one-offs related to credit notes and certain cost reversals such as incentive payments. Cost of services rose by 4% on a quarter-on-quarter basis, primarily driven by maintenance activities to enhance network performance along with installation and partnership costs supporting BDN revenue -- VAS revenue growth. On a year-to-date 9-month basis, cost of services up by 5%, similar to the quarterly trend. Personnel costs grew by 17% on a Q-o-Q basis, driven by higher variable pay in line with revenue performance. On a Y-o-Y basis, personnel costs actually declined by 21%, reflecting lower favorable pay components such as bonuses and incentives compared to the prior year. Marketing expenses increased by 6% on a quarter-on-quarter basis, largely due to increased campaign activities and several new product launches during the quarter. On a Y-o-Y basis, marketing spend declined by 17% reflecting a strategic shift towards more targeted and cost-efficient digital marketing initiatives. G&A expenses rose by 46% quarter-on-quarter mainly driven by professional fees in supporting development and growth of business. However, if you look at it on a year-on-year basis, G&A expenses actually dropped by 3%, underscoring our continuing efforts to control spending in this area. The depreciation and amortization expenses decreased by 3% Q-on-Q, largely due to the fiber lease reversal, post reconciliation. So this is an accounting adjustment put through in the quarter. On a year-on-year basis, D&A expenses up by 2%, driven mainly by the addition of it asset from network rollout to support medium- and long-term growth. In quarter 3, other operating income expense recorded a net income of IDR 78 billion compared to a net expense of IDR 3 billion in the second quarter. This variance was primarily attributable to higher operational one-off gains from disposal of dismantle assets. On a year-on-year basis, prior year tax provision reversal of IDR 121 billion in operational one-off gains contributed to an increase in other operational income from IDR 81 billion in 2024 to IDR 378 billion in 2025. On to the next slide, CapEx decreased by 33% quarter-on-quarter to IDR 3.3 trillion in Q3 as the prior quarter, included GPU CapEx spending that did not recur. However, we continue to invest in our network and increasingly in 5G space. As a result, our 9-month 2025 CapEx has already reached 82% of our full year guidance. Net debt is flat on a quarter-on-quarter and our net debt-to-EBITDA ratio remained flat at 0.49x as mentioned earlier. On a year-on-year basis, net debt went up by 31%. And primarily attributable to CapEx investments for growth, including additional GPU investment in this year. That ends the presentation for the finance section. I will now pass the time to Pak Bilal.
Syed Kazmi: Thank you, Pak Nicky, and good afternoon, everyone. I think from a commercial standpoint, the headline is healthy operational trends. As was mentioned earlier, these are underpinned by solid ARPU growth over a stable base. And this ARPU growth is moving along nicely with data traffic growth. Moreover, IOH is reporting a 4.9% increase in HPP customers. Indosat is also very proud to share the launch of SATSPAM product, which literally solves the national problem of spam and scam. This problem impacts millions of customers. To solve a challenge at this scale, we have benefited from all the good work done on lifting that use of AI in our go-to-market propositions. The end result, of course, is higher customer trust and engagement.
Indar Dhaliwal: Thank you. Operator, can we move to the Q&A?
Operator: [Operator Instructions] The first question comes from the line of Piyush Choudhary of HSBC.
Piyush Choudhary: Yes, good afternoon, and thanks for the call. If I can ask 3 questions. Firstly, congrats on achieving the milestone 40,000 ARPU, which you have talked about earlier. But can you talk about mobile ARPU outlook and what other initiatives are being taken to increase? And what needs to happen for subscriber addition to restart? Secondly, on EBITDA, you have maintained the guidance despite 9-month EBITDA being down 3% year-on-year. So any -- what are the levers which you are expecting in the fourth quarter and if you can throw light on partnership costs and installation costs, which are both up more than 20% quarter-on-quarter. And any outlook for these cost items, particularly partnership and installation? And last one on your monetization, like any update on fiber asset monetization?
Vikram Sinha: Thank you, Piyush. This is Vikram. Let me start with the guidance. I think we had given the guidance of low single-digit EBITDA growth. We are optimistic that momentum, which we have seen in cellular in Q3 will continue in Q4. And we will also see additional growth coming from our AI tech co-verticals. This will drive revenue, which will be positive for EBITDA growth. And we will be stringent on our cost We feel confident and we still hold on to our guidance, Piyush. So that is the first question. Coming on to ARPU. Yes, it took us quarter more than what we had expected to get to 40,000 milestones, mainly because of 2 reasons: one, micro conditions, what we have seen in Indonesia, especially our low-value customers, lower middle class, they are optimizing. And we see things improving. Last especially 3, 4 weeks, we have been seeing a lot of activities from government side. The new finance minister has been also working to stimulate domestic consumption. So these are really good trends. We will be watchful of it. But I think the more important thing is what is in our control, our AI hyperpersonalization, the data and model is getting trained and that is really helping us to give what we call it, a very hyper-personalized experience, and that will help us continue growing our ARPU. So we stay positive that future growth will be ARPU-led and as I said, 40,000 is just a milestone. We believe that in Indonesia, we have an opportunity to get 45,000 and 50,000 over a period of time. Customers, what we are seeing with the discipline in the market of 3GB 35,000 getting implemented in a quite disciplined manner from all operators. We are seeing some SIM consolidation. So having said that, we still believe that over a period of next year, base will be progressive. But for next 3, 4, 5 months, we will see a bit of a SIM consolidation, which is good for the industry. So that is what I can tell you in terms of base. But from a 2026-point of view, we still expect a positive base growth. For the cost one, I'll hand over to Nicky to give more color on it.
Chi Lee: Hi, Piyush, this is Nicky. Thank you for your question. In terms of partnership and installation costs, they are very much revenue driven as we get more activities in terms of MIDI and VAS revenue. So in terms of training you asking, we're seeing 4%, 5% kind of growth.
Vikram Sinha: Yes. And Piyush, coming back to your fiber co carve-out project, we are in the advanced stage of discussion with our investor given fiber co is a very strategic for IOLs future ambition for both FTTH and AI infrastructure we are taking adequate steps to ensure that we take this right even looking at both short-term and long-term perspective. But I'm expecting that you will hear more clarity and reason in this in the next 30, 45 days.
Piyush Choudhary: Got it. Just on partnership and installation, sorry, I missed which part is revenue, where we should see the commensurate revenue because is it more in your VAS revenue or it's MIDI revenue?
Chi Lee: Yes, yes. You're exactly right, Piyush, is more to do with our VAS and MIDI revenue.
Operator: Our next question is coming from the line of Sachin Mittal from DBS Bank.
Unknown Analyst: Yes. Congrats actually on the sequential recovery in cellular revenue. That's quite heartening to see. Any color on what's taking a toll on the margin in the quarter, what are those cost items? Just any color will be good. Secondly, on the GPU as a service, are you able to disclose was is there some kind of -- is kind of forward counting of cost? Or is it how much contribution of months of revenue we had from GPU as a service? And associated question is, what we are hearing is that GPU as a service, the plain vanilla, GPU as a service used to have a 3-year breakeven, but probably the 3-year breakeven may not be possible unless there's something -- some application layer added on top of the GP as a service to make it more sophisticated, more useful for the user. So could you have any comments on this? And how to think about this GPU as a service.
Vikram Sinha: Sachin, this is Vikram. Let me start with our GPU as a service and AI full stack. I think first you will see revenue growing mainly from quarter 4 because our GB 200 cluster went live in September. So from October onwards, we will see the full month impact in the quarter. We got started with L450 H-100, and I'm happy to say that we have close to 24, 25 domestic customers, especially on L450, and that is also stacking up quite well. And you will start seeing the impact of it starting quarter 4. We have seen a little bit on our MIDI revenue because when you look at our MIDI revenue, we are pivoting from lot of projects based on track to AI cloud services. So -- and the we are seeing that the domestic customers are going with healthy margin. When it comes to global customer GPU as a service, you are right, vanilla, we have to make sure that we don't only sell GPU as a service, we also work at an application level. So we're working with NVIDIA and the partner ecosystem that we have a good mix of both. And overall, we are expecting that full year next year, you will see a very positive impact of this on our P&L, not only at EBITDA level also at an EBIT level.
Unknown Analyst: Okay. So basically, you're still optimistic that those 3-year breakeven numbers are still valid, but probably with the more application on top of GPU as a service?
Vikram Sinha: Yes, yes, Sachin. And look, yes, I think, can you hear me?
Unknown Analyst: Yes.
Vikram Sinha: We are very optimistic that we are all set for scaling up next year, which will come with healthy margin at EBITDA and EBIT level, especially with our AI full stack approach. We don't want to become a dumb pipe on when it comes to GPU as a service. We want to make sure we play at a full stack level.
Operator: The next question comes from Sukriti Bansal from Bank of America.
Sukriti Bansal: Congratulations on the sequential growth. Just 3 quick questions. One is on your postpaid ARPU. In 2Q, did we have some one-off? It was really -- it jumped up a lot in the second quarter and is down again in the third quarter. Why is the -- it's something to do with the plants that we changed or why has it moved around so much? And on postpaid in terms of subscribers, have we seen a subscriber decline in prepaid this quarter but postpaid has grown. Is this a cleanup on the prepaid side from the same cards? And what should we expect in terms of trend going forward here? Secondly, on the GPU as a service, is it possible to give, I understand fourth quarter will be a bigger impact with any kind of guidance on how much revenue we had this quarter, what kind of revenue we could see next quarter and for the full year? Is there any change next year, what we would be expecting? And yes, lastly, I think just on the fiber asset, I mean there is a lot of supply, which is coming up in terms of fiber asset spin-off in the market. What does that do to the prospects in terms of the kind of bargaining part we have in terms of how we sell this asset?
Vikram Sinha: This is Vikram. Postpaid, let me start with postpaid. Postpaid overall has been a very good turnaround story for us. We have been consistently growing on our base and especially our premiumization and IM3 platinum has been really doing well. Year-on-year, our revenue on postpaid, Nicky can correct me, is more than 20%. We have also crossed the milestone of 1 million base. So overall, postpaid has been a great story. The second point which you spoke about on prepaid, I think our base is more or less stable. There's a bit of a SIM consolidation happening because this is a very good thing of these rotational in churn with the 35,000 3GB, the industry is moving in the right direction. But overall, our prepaid base is also stable. It has not declined more or less it is flat. So that is on prepaid. GPU, let me give you 2 data points. One, we still stand with our outlook for full year, which is around close to USD 30 million to USD 35 million. What does that mean annualized for next year. It is already on the contracted customer, it will be more than 65 million to 70 million for full year next year. and things will only build from there. So that is in terms of the outlook. We don't get into more detail. You will start seeing this on the MIDI line item going forward. For fiber asset, as I said, this is in the advanced stage of discussion with our investor given the strategic nature and what we want to achieve is not only unlock value for IOH, but also, we want to see how this platform will help us grow on FTTH and AI infrastructure because we are doing a lot on our AI full stack. So I think this is a very strategic platform which is shaping up. And you'll have to wait for a little more time. I'm sure you will get more color to this. We'll be more announcement in the coming few weeks.
Sukriti Bansal: On the CapEx on GPU as a service for this year, do we have a number that we can share?
Vikram Sinha: Nicky said it was in our guidance. Go ahead, Nicky.
Chi Lee: Yes, yes. CapEx on GPU is around IDR 100 million for this year.
Operator: Our next question comes from the line of Arthur Pineda from Citi.
Arthur Pineda: Thanks for the opportunity. Can you hear me? Three questions, please. Firstly, in the GPU as a Service. I recall you were guiding initiative for $35 million to $40 million in revenue bookings. Has any of this been booked into 3Q? I'm just wondering how much more do we see into the fourth quarter or the guidance has been changed with regard to the revenue booking? Second question I had is with regard to CapEx. I'm just wondering what your thoughts are on mobile network CapEx. Your competitor has been guiding quite aggressive increases in their spending around IDR 20 trillion to IDR 25 trillion for the year. Does this is concerned that IOH could find itself lagging from a network standpoint, which would then impact its market share. I'm just wondering how we should look at this going forward? And last question I had is regard to the CapEx sorry, the OpEx increase, which has resulted in slightly lower margins this period. What items are you expecting to be optimized into the fourth quarter, which would actually lead to some reductions and obtain your growth on EBITDA?
Vikram Sinha: This is Vikram. On GPU, you are correct. We gave a guidance of around IDR 35 million and the significant portion of that was coming from GB 200, which got live on September. So yes, we have booked in first 9 months, but the significant portion will flow through in quarter. So we stay true to the guidance. We still feel confident that we'll be able to meet our guidance of IDR 35 million. On mobile network CapEx, I think we are in a good place in terms of our network experience. And we see that the guidance and the amount which we have been spending around IDR 11 trillion to IDR 12 trillion is a healthy pace. I can't comment on other for IDR 25 trillion. I've been in the industry for here in Indonesia. Humanly also, it is very difficult to deploy IDR 25 million in 1 year. But more important, we have a strong balance sheet, as you have seen and we are very confident that we will not compromise anything on our network investment because we will not cut corner anything which helps us on midterm, long-term growth. And the guidance, which we have been giving we feel is the right range, and that is where we need to focus more on splitting our asset and monetizing existing investments which we have done in the ground.
Chi Lee: Yes. In terms of OpEx and costs, Arthur, this is Nicky, the movement is more to do with a change in revenue mix. As you understand, we have very, very high margin for cellular revenue. And as the contribution on a relative basis from this line of business dropped a bit, that will have a profound impact on the overall margin. But if you look at our cost composition is mostly due to installation cost and partnership costs. So we are getting more such services into our revenue line, which is a good thing. We actually managed to optimize a lot of our basically every single line item. So our cost base even if you -- on a 9-month basis, if you include COS is actually flat, right? So we will continue to look at every single item and look for opportunities with the advancement of technology. We have deployed AI across many facets in our organization. We have found a lot of opportunities for us to look at more efficient way of conducting business.
Arthur Pineda: Maybe just to better understand it. So for you to attain your single-digit -- low single-digit growth on EBITDA you're basically needing to drive up your revenues quite dramatically because you've changed the revenue mix? Is that how I should see this into the fourth quarter? Because the target for the year is to growth, yes?
Vikram Sinha: Yes, Arthur, I think you are asking -- you are absolutely right. This is Vikram, Arthur. We have to make sure that our cellular revenue, which we have seen a good momentum in quarter 3 continues on quarter 4 and additional growth coming from our AI TechCo, which is our AI cloud GPU and also security some of these things which are -- which will start flowing from quarters. So you are right, our revenue -- and also, we will continue to have cost discipline. So I know it looks challenging, but we stay confident and we want to hold on to our guidance on what we have said.
Operator: Our next question comes from the line of Henry Tedja from Mandiri Sekuritas.
Henry Tedja: Thank you for the call and congrats management for the 40,000 ARPU milestone here. Perhaps 3 questions from me, please. The first one regarding the early site lease termination. So just curious, is it related to the tower and fiber, which is a part of the integration process during the IOH merger? And if yes, how does the progress have you completed all of them? And then the second question, perhaps related to mobile competition. I know that Pacira early has mentioned about the purchasing power of the consumer, which has improve. Can you provide more color on this? And how do you see the competition landscape in the last 2 or 3 months? And the last question for me regarding the GPS surface. I think Pak Vikram mentioned previously that the USD 30 million, USD 35 million of revenue target for this business coming mostly from the GB 200, which commercially live in September. So I'm just curious how about the revenue contribution from the future that you installed last year? If I'm not mistaken, it's H-100, right? So how's the traction so far on this GPU and the revenue target from the purchase period here? So I think those are my questions.
Vikram Sinha: Let me start with GPU. I think L450 and H-100, we are focusing more on domestic customers. while the count of customers is more than 20%, but these are small ticket and it is building up. So all in fact, H-100 is fully contracted and 50% is contracted and these are recurring long term. But the global and regional customer is on GB 200. So that is how we'll see the full year of 35 million. But the good news is that we are really getting ready for scale up. Our full AI full stack is getting ready. We are working with NVIDIA and some of the partners like Accenture and some of the other partners where we will be able to not only sell GPU as a service, we'll be able to contribute both consumers and B2B at an application level. So the mix of both put us in a good place of healthy EBITDA and EBIT margin. This is the full detail on GPU as a service. Second point on mobile competition, I think it is good to see that the market as an industry is getting discipline on specially you and through rotational customers. So it by moving towards decent drive of 35,000 in 3GB. It is all getting discipline, which is a move in the right direction. But more important, last few weeks, I would say, and these are early trends. We have seen a little bit of improvement on our domestic demand and consumption. We had seen our low-value special customer optimizing a lot a day, again, we have to stay cautious, but we have seen some improvement. So we are very confident that quarter 4, we will build on the momentum we have seen in let's wait and watch for more detail. Overall, we are expecting that next year, overall, from an industry point of view has to be much better than what we have seen this year.
Chi Lee: Henry, this is Nicky. In relation to your question on early side termination, our integration process was completed 2, 3 years ago, more than 2 years ago. So -- but they were still sites that are under contract. So we managed to terminate some sites with a particular power provider that give rise to a one-off gain for us. So don't expect this to be a recurring item for us.
Henry Tedja: Sorry, but Nicky, perhaps, have we completed all related to this contract termination? Or do you think we still have some more or perhaps a few regarding this one?
Chi Lee: Yes, no more, no more. We have completed, the work completed a couple of years ago. Now or the contract, everything optimized already. So as I said earlier, this is kind of a one-off item, although we keep looking at different ways to get savings and other income. But this particular item, unless there are some other changes, we don't see this to be like a recurring or further other income from some of this particular change.
Operator: Our next question comes from the line of John Te from UBS.
John Te: I have just 2 questions. First is on trends on ARPU. Data traffic was up by 4% quarter-on-quarter, which largely tracks ARPU and which also means that data yields were rather stable despite price initiatives or pricing initiatives during the first and the second quarter. Any anecdotes you can share about when we might see data yields improving? Second and related question, were there activities in the market by yourselves or something that you've observed that points to further price rationalization and easing of competition that happened perhaps in the third quarter? Lastly, separately on the fiber sale I think you mentioned earlier also that you will take "adequate steps to balance the short-term benefits to relative to your strategic positioning", I appreciate if you could provide some details or if not, just some very broad strokes on what these steps might be.
Vikram Sinha: Hi John, this is Vikram. On the fiber sale, as I said, this is a very strategic asset. And we feel we are in a good position. You will have to wait for a few more weeks for us to conclude and then disclose everything. But overall, we see that we are in a place where we see value unlock. And also we see this as a platform, which can help us grow on FTTH on AI infrastructure. So that is the balance which we were looking at. And I think we are in a good place to conclude that. But please wait for a few more weeks. Second point on activities in the market, I think we have seen especially the discipline around using through SIM. We see that's a very good move, and it is getting discipline across oven in the industry. We have seen it for ourselves, and that will lead to more sustainable growth. What we want to avoid is people coming in market to buy cheap data and they buy the SIM. That clearly doesn't go into EBITDA, and that is what you see getting corrected in the market. Last point on trends in ARPU. I think this is an ideal situation where the data traffic and ARPU growth. I remember there was a time where data traffic is growing 70% and revenue is growing 5%. That was not sustainable. So last quarter, what we have seen 4% data traffic growth, 4% ARPU growth. This is a very healthy sign. Our bigger focus is to grow ARPU in a very sustainable manner. As I have said earlier, Indonesia is under indexed, whichever way you look at it. There is a room. So we just want to make sure that also the domestic demand, the domestic consumptions, which we are seeing improving. And then we want to make share we take care of our low-value customers. But overall, we feel confident that 40,000 is just a milestone. We need to build from here.
Operator: [Operator Instructions] We have follow-up questions from Piyush Choudhary of HSBC.
Piyush Choudhary: Yes. Just on the GPU as a service, if you're suggesting almost $30 million to $35 million to be booked in the fourth quarter, then could you help us understand why 2026 outlook is only $65 million to $70 million and not like $120 million to $150 million? Just trying to understand how does these contracts work? And why it is bunching up in 4Q and not kind of spreading at a similar rate in 2026. Second question, Nicky, when you mentioned about the installation cost. Is there upfront cost in 3Q where actually revenue will be booked more in 4Q and that's why we are seeing kind of margin decline right now. And when you said 4% to 5% growth, is it year-on-year growth going forward in 2016? Just want to clarify these things.
Vikram Sinha: Let me start with GPU as a service. I think we don't get into more detail, but what is important to know is what we are telling is all contracted and these are multiyear contracts. So what we are telling for this year and next year is minimum worth to. I'm sure we see more opportunity to scale up but we have been very cautious of not over guiding on anything, especially on this new business.
Chi Lee: On the installation cost, the 4%, 5% is really driven by business. So it depends on the demand for the business from VAS and MIDI, but that is the kind of year-on-year growth we are including in our forecast. But the actual change will be determined by the demand required consumption growth for this business. Yes, on the accounting side, Piyush, you're correct, we booked the installation cost. So potentially some of the related revenue from the contracts, related contracts will come later. But there's always year-on-year period-on-period effect, which would tend to cancel out each other. So I don't feel we should take that into account in your model.
Piyush Choudhary: Got it, Nicky. So I think this is more like quarterly volatility will happen in this cost item because of the revenue recognition.
Chi Lee: Yes, it's more to do with the revenue mix, as I mentioned earlier, Piyush.
Operator: Thank you for the questions. At this time, we appear to have no more questions from the line. Allow me to hand the call back to management for closing.
Indar Dhaliwal: Okay. Thank you, everyone, that ends the call for today. As always, do get back to me if you have any further questions, otherwise take care. We'll speak to you next quarter. Thank you very much.
Operator: That concludes today's conference call. Thank you for your participation. You may now disconnect your lines.